Operator: Greetings, and welcome to the Apple Hospitality REIT Third Quarter 2020 Earnings Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Kelly Clarke, Vice President of Investor Relations. Thank you. Ms. Clarke, you may begin.
Kelly Clarke: Thank you, and good morning. We welcome you to Apple Hospitality REIT's third quarter 2020 earnings call on this, the sixth day of November 2020. Today's call will be based on the third quarter 2020 earnings release and Form 10-Q, which were distributed and filed yesterday afternoon. As a reminder, today's call will contain forward-looking statements as defined by federal securities laws, including statements regarding future operating results and the impact of the Company's business and financial condition from and measures being taken in response to COVID-19. These statements involve known and unknown risks and other factors which may cause actual results, performance or achievements of Apple Hospitality to be materially different from future results, performance or achievements expressed or implied by such forward-looking statements. Participants should carefully review our financial statements and the notes thereto, as well as the risk factors described in Apple Hospitality's annual report on Form 10-K for the year ended December 31, 2019, quarterly report on Form 10-Q for the quarter ended September 30, 2020, and other filings with the SEC. Any forward-looking statement that Apple Hospitality makes speaks only as of today, and the Company undertakes no obligation to publicly update or revise any forward-looking statements, except as required by law. In addition, certain non-GAAP measures of performance, such as EBITDA, EBITDAre, adjusted EBITDAre, adjusted hotel EBITDA, FFO and modified FFO will be discussed during this call. We encourage participants to review reconciliations of those measures to GAAP measures as included in yesterday's earnings release and other filings with the SEC. For a copy of the earnings release, or additional information about the Company, please visit applehospitalityreit.com. This morning, Justin Knight, our Chief Executive Officer; and Liz Perkins, our Chief Financial Officer, will provide an overview of our results for the third quarter of 2020. Following the overview, we will open the call for Q&A. At this time, it is my pleasure to turn the call over to Justin.
Justin Knight: Good morning, and thank you for joining us today. The COVID-19 pandemic continues to impact our daily lives. I sincerely hope that each of you are doing well, staying healthy and managing the challenges impacting day-to-day life. I would like to take this opportunity to thank the management teams and associates at our hotels. Our outperformance during these unprecedented times would not be possible without their strength, dedication, and unwavering hospitality. We have effectively adjusted to the new work environment and continue to serve our guests with care during an especially challenging time. I also want to thank our team at Apple Hospitality. This operating environment is unlike anything we have seen during our long history in the lodging industry. The collaboration across work groups and the ongoing communication with brand representatives, lenders and our third-party management teams have been exceptional and they've laid the groundwork for maximizing performance and preserving long-term value for our shareholders throughout the recovery. Over the past two decades, through hundreds of asset-level transactions and multiple corporate level mergers and sales, we have developed and refined a hotel investment strategy unique in its ability to mitigate risk and volatility while producing compelling investor returns throughout economic cycles. While the current environment has created more specific operating – significant operating challenges than we experienced in prior cycles, it's highlighted the merits of our underlying strategy and diversified rooms-focused portfolio. On prior calls, we indicated our expectation that we would be less impacted than many of our peers and among the first to benefit from a recovery in travel. With meaningfully lower leverage, greater market diversification and more efficient asset-level operations, we were first among our publicly traded lodging REIT peers to generate positive cash flow. Our ability to keep our hotels open and operate efficiently at low occupancy levels and our discipline in maintaining low leverage late cycle enabled us to preserve our balance sheet, protecting the value of our equity and uniquely positioning us to pursue opportunities in the early stages of a recovery. Our rooms-focused hotels do not rely on large group business and have proven appeal with the broadest group of potential customers. Our association with top brands combined with the strong value proposition of the upscale select service model, have historically led to strong performance during all phases of economic cycles. Since April, occupancy and RevPAR have sequentially improved for our portfolio with occupancy increasing by over 20 percentage points from the second quarter to the third quarter. Average occupancy reached approximately 52% for the month of September and approximately 53% for the month of October. And we are pleased to report positive hotel level EBITDA of approximately $35 million and positive modified FFO of approximately $9 million for the quarter. By keeping our hotels open, we were able to retain key managerial and sales staff at our hotels, those worked closely with our internal revenue management resources to identify areas of opportunity in the current environment. We have strategically targeted available demand in our market and our growth in occupancy has been driven by a wide variety of demand generators. With growing occupancy, RevPAR improved from down 75% year-over-year in the second quarter to down 54% in the third quarter. Hotel performance of course varies by market, and while we do not anticipate significant changes in the current demand trends, we cannot yet predict with certainty when operating metrics at our hotels will return to pre-pandemic levels. Given the ongoing uncertainties related to the depth and duration of the COVID-19 pandemic, we are not yet in a position to provide an operational outlook for the company. We have been active participants in the hotel industry for more than 20 years with experience through multiple cycles and over that time, we have developed strong relationships with Hilton, Marriott, Hyatt and our hotel management teams. The scale of our platform and our ability to benchmark and share best practices has enabled a highly collaborative effort to optimize property level profitability. The management teams at our hotels have been exceptional in their willingness to take on new roles within our hotels and flex staff based on market demand. In an environment where there is increased focus on cleanliness, our ownership of select service hotels has been especially beneficial given the fact that compared to full service hotels, we have meaningfully less public space to sanitize, the flexibility to cross utilize employees to maximize efficiencies and fewer outlets to manage. We have been able to meaningfully scale back food and beverage offerings while continuing to provide convenient options for our guests. While we continue to discuss potential future operating models with the brands to improve long-term operating margins at our hotels, they have allowed significant flexibility in the interim, enabling us to modify services and amenities by market and occupancy level to help us maximize performance. As we work with the brands over the next several months, we will remain focused on rethinking the standard offerings with the dual goal of enhancing our return on investment and ensuring that our hotels remain relevant with consumers and competitive within their markets. Historically, new supply has lagged demand trends by about 12 to 18 months. While we have not yet seen a meaningful decline in new supply across our markets, we are beginning to see some disruption in new construction starts and expect that trend will continue over the next several years, a trend that bodes well for our sector and should allow time to rebuild occupancy without incremental headwinds from new supply. Getting with our first hotel in 1999, we have assembled eight hospitality portfolios, acquired 438 hotels and sold 203 hotels. We have done hundreds of individual property transactions, closing over 70 in a single year, and have also completed scaled portfolio deals, both as buyer and seller. While industry transaction volume has been relatively low over the past several years, we anticipate that an increased number of assets will come to market in 2021 with elevated transaction levels continuing into 2022 and 2023. We intend to be active participants, both as buyers and sellers while remaining disciplined in our approach and using our extensive deal and operations experience to ensure transactions to enhance our portfolio and drive returns for our investors. In August, we closed on the dual-branded Hyatt House and Hyatt Place in Tempe, Arizona, a development project, which we contracted for in 2018 for a total purchase price of approximately $65 million. Instruction of the Hilton Garden Inn in Madison, Wisconsin, which we contracted for in 2019 for approximately $50 million remains on track and we anticipate acquiring the hotel in early 2021, assuming of course, all conditions to closing are met. We anticipate that each of these hotels will be a meaningful contributor to our overall profitability in future years. In October, we entered into a contract for the sale of our 118-room Homewood Suites by Hilton in Charlotte, North Carolina, for a gross sales price of over $10 million. We are pleased with the terms of the contract, which represents a mid-7s cap rate on 2019 numbers after a 4% FF&E reserve and excluding necessary PIP costs or a mid-5s assuming renovation cost of $35,000 per key. If all conditions to closing are met, we expect the sale to be completed within the next five months and to recognize a gain upon the completion of the sale. The potential buyer for our Homewood Suites in Memphis, which we discussed during our last call, terminated their contract during the quarter. Although we do not have an immediate need to sell hotels to create incremental liquidity, we are in active discussions with a number of potential buyers for this property and additional hotels in our portfolio. These buyers who include small private equity groups, local owner operators and real estate investors exploring alternative uses for our properties are a mix of both direct and brokered relationships. Our hotels are attractive to potential buyers in part because of our regular reinvestment, which maintains their relevance and ensures their long-term market competitiveness. Over the years, we have invested over $0.5 billion in our existing portfolio. As a result of these investments and the quality of our on-site management teams, our portfolio has consistently outperformed on measures of guest satisfaction and benefited from strong market share. With the temporary easing of brand renovation requirements and in an effort to preserve capital, we've postponed all non-essential capital improvement projects for the year, reducing our anticipated 2020 spend by approximately $50 million. During the nine months ended September 30, 2020, we invested approximately $35 million in capital expenditures, completing renovations at 16 hotels starting prior to the onset of COVID-19. We anticipate spending an additional $5 million in capital expenditures during the remainder of this year. We are fortunate to have entered the current downturn with a relatively young well-maintained portfolio, which allows us the necessary flexibility to manage our near-term capital expenditures to preserve current liquidity. This incredibly challenging environment has highlighted the strength and resiliency of our portfolio and underlying strategy. And as the economy recovers, we are exceptionally well positioned. Our upscale, rooms-focused hotels, our broad geographic diversification, our affiliation with strong brands, our relationship with exceptional third-party managers, our data-driven approach to asset management, our strong balance sheet and our experienced team at Apple provide us with security in uncertain times, and the ability to produce strong returns for our investors during periods of economic prosperity. I am confident in our ability to weather the current environment and outperform as travel improves. It's now my pleasure to turn the call over to Liz who will provide additional detail on our financial results and performance across our market.
Elizabeth Perkins: Thank you, Justin, and thank you, everyone, for joining us this morning. We began the third quarter with portfolio occupancy in the mid-40s and positive cash flow beginning in July, just four months after the impact of the COVID-19 pandemic and resulting shutdowns that drove industry occupancies to their lowest point. Occupancy continued to improve throughout the quarter though the rate of growth float, moving from 45% in July to 49% in August to 52% in September for a total of 49% for the quarter. Growth continued in October with portfolio occupancy reaching approximately 53%. By the end of October, 60% of our hotels had occupancy in excess of 50% up from 6% in April and 32% at the end of the second quarter, and just 3% of our hotels had occupancy below 15%, including hotels where we've intentionally consolidated operations. Occupancy at our extended stay hotels, which represents over a third of our total portfolio have continued to exceed our portfolio average at 60% in July, 64% in August and 65% in September. Summer leisure travel drove demand across our portfolio with our Virginia Beach hotels running approximately 80% occupancy for the quarter and our Panama City and Hilton Head hotels running just under 70%. Weekend occupancies for our portfolio exceeded weekday occupancies by approximately 12 percentage points for the quarter with the monthly spread being fairly consistent, except for the impact of a strong Labor Day weekend, which created a marginally greater differential for September. For context, last year, our weekend and weekday occupancies were similar throughout the summer with weekends being just slightly higher overall. Demand for our hotels has been broad-based and includes leisure, government, healthcare, construction, disaster recovery, insurance, athletics, education, crew, and local and regional corporate business. Eight of our hotels ran occupancies in excess of 90% for the quarter, including our Hilton Garden Inn in Lafayette, Louisiana, our TownePlace Suites in Suffolk, Virginia, our Homewood Suites in Clovis, California, our Residence Inn’s in Manassas, Virginia and Santa Clarita and San Bernardino, California, and our Hampton Inn’s in Tulare, California and Texarkana, Texas. As we moved through the quarter, our year-over-year occupancy declines decreased for both weekends and weekdays. Weekends improved from down 38% in July to down 20% in September and weekdays improved from down 48% in July to down 39% in September, which we are pleased was driven in part by an increase in regional and local business demand. Our transient and group breakdown for the quarter, which includes both leisure and business, was approximately 88% transient and 12% group fairly in line with third quarter 2019 trading a point in group for our point and transient this year. Historically, we've estimated that approximately 70% to 75% of our demand is business-related and 25% to 30% is leisure. Given the spread in weekday and weekend occupancies over the third quarter of this year, we estimate more of a 50-50 split. That said, we never have absolute visibility into why people travel, and today more than ever, there maybe a propensity for trips to have both a business and leisure purpose. From a mix of business standpoint during the quarter, government and bar were fairly consistent year-over-year, while negotiated decreased by 7 percentage points and discount segments increased by 9 percentage points, which is expected given the outperformance on a relative basis of leisure versus negotiated business, particularly large corporate negotiated accounts. Keeping our hotels open and retaining key sales associates from the very onset of the pandemic, enabled us to actively seek out new business in our markets and service long-term customers in ways that will help to create loyalty through the economic recovery. Our third quarter booking data shows property direct bookings represented approximately 33% of our total room night channel mix up 10 percentage points from the prior year. Brand.com bookings were relatively consistent with last year down 2 to 3 percentage points to 34%. Points was down approximately 3 points to 5%, while OTA was up approximately 6 percentage points to last year at approximately 17%, reflecting the stronger leisure demand during the quarter. [Indiscernible] was down significantly, decreasing approximately 11 percentage points to 10%, again, consistent with limited corporate travel. As we transitioned to the fourth quarter, based on the historical seasonality of our portfolio and despite exposure to several markets with strong fourth quarter demand, we would expect to see some pullback in occupancies in November and December where the past several months have been anything, but ordinary. We are confident that we are well positioned and prepared to respond to almost any conceivable change in demand. ADR for our portfolio was down approximately 25% for the quarter versus prior year, driven by business mix in our hotels and competition for customers in a low occupancy environment. As is been the case in past cycles, we anticipate rate will continue to be challenged until portfolio occupancies allow for more active management of our mix of business, as well as the ability to reduce discounts and push bar rates, which further impacts ADR in all segments. This is typically as we get above 70% occupancy. While continued occupancy and rate improvement will depend on the timing and effectiveness of COVID-19 vaccines and therapeutics and the strength and speed of the economic recovery, we are encouraged by the pullback in new construction starts, which bodes well for future years, the resilience of demand for our hotels, despite current challenges and pertinacity and resourcefulness of our onsite management teams. Strong property level cost controls, efficient corporate overhead, and relatively low interest obligations enabled us to produce positive cash flow at the corporate level throughout the third quarter. Together with the heroic efforts on the part of our third party management companies and with the support from our brands, our best-in-class asset management team continue to implement cost elimination and efficiency initiatives, effectively managing labor costs, reducing or eliminating certain services and amenities and renegotiating rates under various service contracts. These efforts enabled us to lower rooms expenses by 26% year-over-year on a per occupied room basis and total property level expenses by 50% during the third quarter as compared to the same period last year. Corporate G&A was reduced by 26% compared to the same period last year and having achieved positive cash flow beginning in July, we further reduced borrowings on our line of credit to minimize interest expense. These efforts resulted in impressive bottom line performance for the quarter. Adjusted hotel EBITDA was approximately $35 million and adjusted hotel EBITDA margin was approximately 23%. Adjusted EBITDAre was approximately $28 million and modified FFO was just over $9 million or a positive $0.04 per share. As a reminder, the company paid distributions of approximately $67 million or $0.30 per share during the first quarter of 2020. In March, we suspended our monthly distributions with our last distribution being paid on March 16, 2020. At this time, we do not anticipate paying additional shareholder distributions for the remainder of 2020 unless required to do so in order to maintain our REIT status for federal income tax purposes. At the end of the quarter, we had $1.5 billion in total outstanding debt consisting of $516 million of mortgage debt secured by 33 hotels and $1 billion outstanding on our unsecured credit facilities with a weighted average interest rate of 3.8%. As of September 30, we had available corporate cash on hand of approximately $27 million and unused borrowing capacity under revolving credit facility of approximately $295 million. We have no maturities for the remainder of 2020 and $51 million net of reserves maturing in 2021. With over $300 million of total liquidity and positive cash flow, we are confident in our ability to navigate the current uncertainty, preserve the value of our equity and strategically position ourselves to take advantage of opportunities. Before opening the call for Q&A, I want to thank our teams who have worked tirelessly to optimize performance in the most challenging operating environment our industry has ever faced. Their efforts and experience coupled with the strength of our platform have uniquely positioned us for outperformance and given us great ability to be opportunistic as we look to bring long-term value to our shareholders. While significant uncertainty remains as we continue to navigate these unprecedented and challenging times, the current environment has underscored the strength and resiliency of our hotel portfolio and underlying strategy, and we remain confident in our ability to maximize performance and enhance long-term value for our shareholders. We will now open the call for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Neil Malkin with Capital One Securities. Please proceed with your question.
Neil Malkin: Hey, everyone. Good morning.
Justin Knight: Good morning.
Elizabeth Perkins: Good morning.
Neil Malkin: Hey. First question maybe about the operating model in the expense side. A lot of talk has been going on with changes to brand standards kind of fine-tuning the operating model. You mentioned vendor services, contract services, renegotiations. So maybe Liz, could you talk about some of the brand standards or changes you're most focused on given your types of hotels trying to lower fixed costs from the system maybe – yes, any color you could give would be helpful. Thanks.
Elizabeth Perkins: Absolutely. Good question. And I know something that most people are focused on right now just trying to understand what the long-term model looks like. Thankfully, the brands have been collaborative and recognized the opportunity that we have to evaluate all brand standards once that may or may not be typically on any of our radars, right, just going through all brand standards to try to understand where we could be more efficient long-term. Everyone is working to that end. We're in very regular conversations through our ownership advisory councils with them and everything is on the table. Some of the areas that would have more focus or more attention for us just because of the impact it could have to the bottom line or certainly around labor and housekeeping. And I think we've talked a little bit about that before, but to the extent, we could adjust the model and operate similarly to how we are today, where stay-overs are not being cleaned as often or on request versus every single day would certainly help depending on your length of stay. So that's certainly an area of focus. And then comp services around free breakfast and evening social, just making sure that we're being efficient there and providing value to the guests that they are expecting. But doing it in a cost effective way and certainly not adding back amenities and services that they may not be comfortable with long-term or may not expect as we move forward.
Neil Malkin: Okay. I guess, as a follow-up to that. Are you concerned at all about the breakfast in particular? Is that kind of goes away or is modified significantly? Are you worried that is – just given that's a big value proposition to certain travelers, small business or families, are you worried that that may impair the value proposition that you provide to your customers?
Elizabeth Perkins: I don't think that we will get to a place where we suspend comp service breakfast to a degree that would degredate the value of the brands. I think that ownership – ownership companies broadly speaking want to ensure that we're still a value proposition that they're still relevant with the brands that we operate in. We certainly want to make sure that what brings guests to our hotels and the value proposition that exists today that that exists long-term for consumers. We just want to ensure especially around breakfast, are we doing it the most efficient way and offering sort of the sweet spot of what they expect, but not anything more or less. And there are ways to leverage the scale of the brands from a cost saving standpoint and just cost negotiation standpoint that I think will be explored as well. But we're certainly partnered with the brand to ensure long-term value. We aren’t trying to realize savings even in the near-term that would prevent our long-term value for guests.
Neil Malkin: Appreciate that. Other one for me is, Justin you talked about, you expect opportunities for acquisitions to hit the market more so starting next year and then carry on 24 months or so after that. One of the things that is, I guess maybe a disadvantage for the hotel sector compared to some other REIT sectors is just that the absolute size. I wonder if this could be an opportunity just given the impact that COVID has had on the sector for you guys to be very inquisitive from a portfolio or just very active standpoint, such that you can grow your portfolio just to be – another way to be very differentiated among some of these hotel REITs that have a lot of high G&A load, limited scale benefits, et cetera. Just wondering how you think about that as we go forward?
Justin Knight: Really good question and certainly something we are focused on. I think we see – well, first of all, it's important to highlight that from a relative scale standpoint, we've been able to achieve significant efficiencies really at our current scale based on the fact that we've been very consistent in our approach to the business and the types of assets that we pursue, such that we're able to utilize data and benchmarking to drive operations without really layering on a significant overhead load in terms of G&A at the corporate level. We think given the type of assets that we own that we're uniquely scalable in ways that would benefit investors. And we see the potential for an opportunity to do so in the current environment over the next couple of years. That said, I think we've proven that we can be disciplined in our approach. In the near-term, we're beginning to see an increase in transactions and assets coming to market that would be – the most likely scenario for us in the near-term is that those would be funded – new acquisitions would be funded with proceeds from dispositions. And then as our share price continues to recover, we see a more consistent trend line in terms of occupancy and rates growth. We would begin next to utilize the strength of our balance sheet. And finally, at some point, hopefully, we’ll have an opportunity to issue equity. I think we would only do that at a point in time when we were assured that we could – we’re priced appropriately such that we could pursue assets in ways that would benefit our current shareholders. But following the past trends, we think there will be a window of opportunities in 2021 and possibly into 2022 to potentially grow the size of our portfolio. And I highlighted in my remarks that we have a tremendous amount of experience doing that over two decades and through a very large number of transactions, but individual asset and portfolio transactions. And we look forward to the opportunity. I think the fact that we were patient as values were peaking and preserved our balance sheet, put us in a position, I think an enviable position relative to our peers as we emerge from this combined with the fact that we have had a significantly shorter duration of cash burn. And I think we will be in a position where we can do things that enhance the value of our shareholders in the near-term.
Neil Malkin: Thank you.
Justin Knight: Thank you.
Operator: Thank you. Our next question comes from Austin Wurschmidt with KeyBanc. Please proceed with your questions.
Austin Wurschmidt: Hey. Good morning, everybody. Tagging on to that last question a little bit. Justin, as you think about the portfolio mix, suburban and urban as well as some of the other locations, as you look out maybe three to five years, should we expect that location mix to remain relatively consistent or have you considered or would you like to reshape the portfolio in anyway from a submarket in a location perspective?
Justin Knight: That's a good question. I think if you look at broad categories the types of markets that we intend to be in won't change. I think a hallmark of our strategy has always been broad geographic diversification, and that diversification in part has included exposure to a variety of different types of markets both urban and suburban. The mix and the split between urban and suburban has changed over time following shifts in general economic and demographic changes over the past two decades. And I think what you can expect from us is that we will continue to fine tune ensuring that we own hotels and places that people want to visit. I think you can also be assured that we will not pursue transactions in a way that more heavily concentrates our portfolio in a single type of market or increases our reliance on a single industry. Our goal has always been to establish greater stability and that comes through broader diversification and exposure to a broad array of potential demand generators. And if you look at the way our portfolio is made up now, what you can expect from us in the future is something similar. So I think what we've shown over the past five years since we listed is that we'll make adjustments on the margin such that we have exposure to those markets that are likely to produce outsized growth in the near-term.
Austin Wurschmidt: So maybe along similar lines given the outperformance and greater stability in your suburban markets, is there any reason to believe that supply could return to suburban sub-markets sooner than urban?
Justin Knight: Well, I mean, supply has always follow-up demand and so I think certainly to the extent, there's significantly greater demand in suburban markets and that demand excess or excess demand is sustained for any period of time. We would expect to see an increase in supply in those markets in the same way over the past cycles that we saw a supply follow demand into urban markets. I think because there's a lag and that lag tends to be two to three years for new supply to catch up with demand growth in particular markets, we tend to disassociate the two. But the reality is that the supply growth over time tends to be rational and follow demand trends, which is why we've seen supply growth in our particular sector or segment of the industry also exceeds supply growth in others. It follows the demand. I highlighted in my earlier remarks, in the near-term, we expect the fundamentals and increased cautiousness on the part of lenders to reduce the number of new construction starts. We've already seen that in our portfolio with the number of hotels that we have with new supply under construction within a five mile radius coming down to 5 percentage points from the beginning of the year. Our expectation is that that will continue and that we will have a window of opportunity to grow occupancy and to build back rates before we see supply begin to come into our markets again.
Austin Wurschmidt: Thanks. Helpful detail there. And then just last one for me. Liz, you mentioned the potential for seasonality to take hold in November and December. And I know visibility is very low today. But I was curious, as you look around the holidays in the next couple of months, how booking – maybe booking trends in demand is shaping up specific to those times of year and anything you can share there?
Elizabeth Perkins: I wish Austin that I could give you more detail around the holidays. They're still a little bit far out to really draw any major conclusions from what we're seeing. As a point of reference, back when COVID hit and even as things were starting to improve for our portfolios. So back in July, nearly 60% of our business was booked within three days that has – and compared to last year being around 30% being within three days, that is marginally gotten better month-to-month and it’s better in October still, but it's still roughly 50% within three days. And so I can't really with any certainty say what we think will happen over the holidays. But I am encouraged with how things have progressed coming through the third quarter and even into October with continued occupancy growth. We've been pleased as we've sort of shifted from season-to-season and each time there's been sort of an expected potential pullback in demand, some compensating demand that has materialized. And so with people being able to work remotely and educate remotely, there is the possibility that Thanksgiving and Christmas and the holidays could produce more leisure demand than historically. And so I anticipate some seasonality will take shape to the degree will it marry typical seasonality and be as significant, too soon to tell. But we're certainly encouraged by October's results and feel like there is the chance that there would be some more leisure travel around the holidays.
Austin Wurschmidt: Thank you. Appreciate the thoughts.
Justin Knight: Thank you.
Operator: Thank you. Our next question comes from Tyler Batory with Janney Capital Markets. Please proceed with your questions.
Tyler Batory: Hey, good morning. Thanks for taking my questions. Just a couple for me. And first, Justin in your prepared remarks you talked your capital out there looking at your hotels. Just talk a little bit about what you're seeing out there in terms of assets. How would you gauge that interest and if you could elaborate a little bit more in terms of what sort of parties and what sort of entities are looking specifically at some of your properties?
Justin Knight: Happy to, and I appreciate the question. I highlighted in my remarks that the groups that we're talking to you now fit into – generally into one of three categories, small private equity firms. A significant portion of those are opportunistic, I guess, vulture funds, looking for deals. We've entertained conversations with those groups, but to date because their pricing expectations have not aligned with ours have been in a position to pursue transactions. From a scale standpoint, they're generally looking for smaller portfolios in a $100 million to $200 million value range. We've also had a number of conversations with groups looking at a subset of our assets for potential repositioning into other real estate classes, specifically multifamily as a use for some of our earlier generation extended stay hotels. The group that we were talking to or that had our Memphis project under contract was a group like that and the groups that we continue to have conversations with around that project are similar. The Charlotte property that's currently under contract is under contract with a group that intends to utilize the property and the additional land associated with it for multifamily as well. And then we continue to see interest from local owner operators. Liz highlighted in her remarks the fact that we have a range of results in terms of local market performance for individual assets. And we continue to have a number of assets in our portfolio that are putting up very strong occupancy and revenue numbers despite the challenges of the current environment. Those assets continue to be very attractive for local owner operators and we've had a number of conversations with groups at price points that are comparable to where we would have been looking to potentially sell in 2019. So I think those are the groups that are most active right now. Our expectation is that as we see an increase in the number of deals come to market, the groups on the buy-side will also increase. And what we've seen historically is that as transaction volume increases the bid-ask spread narrows and transaction volume tends to accelerate in the early phases of a recovery. Just over the past several weeks, I've seen dozens of deals that would fit from a product type and quality standpoint. Our investment criteria come to market and our expectation is that this is really just the beginning that as we get into 2021 and potentially into 2022 and 2023, as I highlighted that we'll see many more deals come to market. A portion of them obviously distressed deals that were either capitalized in a way that didn't position them well to survive the pandemic or in some cases deals where there are extenuating circumstances to drive ownership to bring them to market. But as the market becomes more frothy, we anticipate there will be people who are opportunistic bringing assets to market in order to create liquidity events, potentially fund other investment opportunities. And I think to some extent we fit into that latter category. I highlighted the fact that it's our intent to be active in the market both as buyer and seller of assets. And really it's our intent in the near-term in the early phases of the recovery to fund all – materially all of our new acquisitions with proceeds from dispositions waiting to use the capacity that we have on our balance sheet until the market has stabilized a little bit more, and we have greater security that we'll have sufficient liquidity on a go-forward basis.
Tyler Batory: That's great color. I appreciate that. And I also wanted to follow-up on the labor and the expense topic and discussion. You're at 49% occupancy in the third quarter where you can make some assumptions in terms of the fourth quarter. And when look into next year and beyond, is there a good occupancy threshold to think about in terms of when you might add some incremental labor or when you might start to phase in some of the amenities at your properties that you had put on hold as the pandemic started?
Elizabeth Perkins: As we’ve moved throughout the third quarter in markets where we had increased demand, we have added back some level of amenities, services and staffing. We at the onset retained mostly managerial positions and sales positions. And so we have been able to add back by and large hourly associates as needed and can flex at different occupancy levels. And so as a portfolio we are still probably at half of the FTEs that we were at a more stabilized level, maybe a 2019 level. But we have the opportunity to flex hourly wages as occupancies vary both up and down.
Tyler Batory: Okay. That's all for me. Appreciate the detail. Very helpful. Thank you
Justin Knight: Thank you.
Operator: Thank you. Our next question comes from Bryan Maher with B. Riley Securities. Please proceed with your question.
Bryan Maher: Great. Thanks and good morning. And lots of great color there so far. A couple of questions for me. Justin, when you look out there at what there might be to buy, are you seeing any products similar to what you've done in the past with new developers and Apple being the takeout of them? I think you may have subsequently walked away from one of those, but are there any of those types of assets where product is about to be completed where the developer is kind of desperate to catch that in and their takeout has subsequently disappeared because of COVID?
Justin Knight: The short answer to that and it's a good question, is yes. And we anticipate we'll see more of it as we continue through the cycles especially in the earlier part. So as we continue through the end of this year and into the first part of next year, we're seeing a mix of deals and new development. Certainly, it’s an attractive source of potential deals for us as the assets coming online have often been built in markets where the demand justified the new construction, especially over this past cycle where lenders were more disciplined in where they would lend for new development and their advantages to having new assets within our portfolio especially as we look at CapEx needs on a go-forward basis. And so I think a portion of the transactions that you'll see us participate in especially in the early phases of the cycle will be moving out of some of our older assets like Charlotte and Memphis and into some of these newer deals where there's a unique distress related predominantly to the financing and the availability of takeout and not associated with the potential for the actual deal.
Bryan Maher: Great. And then kind of taking that to the next step, what is your appetite maybe in dollar terms of acquisitions versus reinstating the dividend maybe not at its past level, but at some level to return some capital to shareholders. What are your thoughts on the two of those?
Justin Knight: We've always been focused on total return for our shareholders. There are two components to that because the assets that we own generate a tremendous amount of cash. There's a legal requirement that we've paid dividends as a REIT, and we're in a position because of the assets that we own to pay a relatively strong dividend relative to our peers in the industry and certainly relative to other real estate investment trusts outside of our industry. I think because of the unique opportunities in the – potentially available in the early phases of a recovery, you'll see us be extremely balanced in our approach, allocating capital to those opportunities, which will produce the strongest returns for our investors over time. And there'll be a mix of new acquisitions, which will propel the value of our stock and then dividend payouts, which again will be legally required of us. And because – again, we've gotten to cash flow positive sooner than our peers and our expectation is that based on the pattern of which we anticipate demand to come back across the industry. We anticipate we'll be among the first to be in a position where we’re required to reinstate our dividend as well.
Bryan Maher: Great. Thanks. That's all for me.
Justin Knight: Thank you.
Operator: Thank you. Our next question comes from Michael Bellisario with Baird. Please proceed with your question.
Michael Bellisario: Hi. Good morning, everyone.
Justin Knight: Good morning.
Elizabeth Perkins: Good morning.
Michael Bellisario: First question for you, could you provide some color on your RevPAR index trend? Kind of where is that today? And how it's tracked over the last few months?
Elizabeth Perkins: We’ve certainly seen strong index in where we have a particular types of assets. For instance, the extended stay properties have outperformed from an index standpoint and we've performed most well there. We have – as a portfolio, we have consistent market index probably by and large when you take into account the hotels that we intentionally consolidated some of our more urban locations and things like that, but where there has been demand, we have outperformed from an index standpoint.
Michael Bellisario: Got it. Thank you. And then just on the Madison development deal, I think I know the answer there. But how do you plan on funding that acquisition early next year? And then, how does that affect the credit metrics as you think about them under your amended credit agreement tests? And then also maybe in the context of potentially needing additional modifications or flexibility at some point early next year?
Justin Knight: When we renegotiated the waivers that we haven't placed with the banks, we anticipated each of the development deals that we have under contract at that point in time. [Indiscernible] that source of funds will be our line of credit though we anticipate between now and then that we will have incremental sales, which will be the true source of funds for them for the transaction. So I think our early negotiations contemplated the closing of the assets with two assets, which we closed in Cape Canaveral. The two that we closed recently in Tempe and then the upcoming asset in Madison. We had sales transactions early in the year that roughly offset the Cape asset from a value standpoint. And based on the interest that we're seeing in other assets in our portfolio, our expectation is that we'll be able to fund with proceeds from sale.
Michael Bellisario: Got it. Thank you.
Justin Knight: Thank you.
Operator: Thank you. Our next question comes from Anthony Powell with Barclays. Please proceed with your question.
Anthony Powell: Hi, good morning. One of your peers sold a hotel to a jurisdiction for an alternate use at a pretty good cap rate. Have you looked at your portfolio to see if there are opportunities to sell hotels for alternative uses and recycle that capital into new acquisitions?
Justin Knight: Absolutely. Yes, absolutely. And we've had conversations in California with local municipalities around similar potentially for our assets. I highlighted in my remarks that we were selling the property in Charlotte. And all-in cap rate in the mid-5s, taking into consideration renovation requirements and mid-7s pre-renovations, that's an asset in a much smaller market. But we're seeing especially for our older extended stay assets, significant demand from groups intending to purchase the assets for an alternative use. And our thinking on that is that we will be able to transact on a number of assets within our portfolio with groups that fit that same profile.
Anthony Powell: How big is that opportunity I guess in either number of hotels or total proceeds?
Justin Knight: I'm reluctant to give you an exact number. I would say if you look at our portfolio, the interest is predominantly around extended stay assets and more often in suburban locations, and you can get a general sense for the scale of the potential opportunity that way. The reality is multifamily demand has continued to be strong throughout this economic downturn and pandemic, and developers view conversion of extended stay properties into multifamily as a significant value add. And there are a number of groups – larger groups that are well-funded, that are pursuing that type of potential transaction.
Anthony Powell: All right. Thank you.
Justin Knight: Thank you.
Operator: Thank you. Our next question comes from Dany Asad with Bank of America. Please proceed with your question.
Dany Asad: Hi. Good morning, everybody.
Justin Knight: Good morning.
Dany Asad: My question is a little bit more on rates. It's been really like encouraging to see you’re your occupancy has been improving through October. But can you just give us a sense for how rates been behaving since quarter-end? And then my follow-up is how much of the rate decline we've been seeing so far is just the change of mix? I know that was kind of mentioned in the prepared remarks, but if you could just kind of elaborate on that a little bit?
Elizabeth Perkins: Right. I definitely think that rate is impacted by mix of business. But every segment is impacted by competition and the level of demand in the market. So in different segments, each segment is impacted from a rate perspective just relative to the demand that's in the market. When there's enough demand, typically when we get to around 70%, we're able to preference the different segments of business to drive overall ADR. But within the segments, they're impacted by just the environment that we're in as well from an ADR perspective. And so part of it is that we're not in a position where we're preferencing higher rated business over others. And that corporate demand which tends to be the highest rated and drive peak demand over certain nights helps us drive rate and manage mix on those nights. Since quarter end, we've seen similar trends to what we were seeing in the third quarter. Still not meaningful moves one way or the other, but certainly still in a competitive environment at these occupancy levels.
Dany Asad: Got it. Thank you.
Justin Knight: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Floris van Dijkum with Boenning & Scattergood. Please proceed with your question.
Floris van Dijkum: Hi. It’s actually Compass Point. Quick question. I know it’s – you have $70 million, I believe of mortgage debt coming due next year. How are you thinking about mortgage debt that comes due even the difficulty of refinancing or getting hotel financing right now, and would you move that to your line of credit?
Elizabeth Perkins: We have – it’s roughly $51 million net of reserves coming due in 2021. And so we will – at the time that that becomes due, we'll evaluate all options to your point, refinancing might be a challenge. But we still have some time between now and then and we'll evaluate what makes the most sense. Certainly, if we're able to continue to rebuild occupancy and stay in a positive cash flow position, we would hope that we would have liquidity to fund that as well.
Floris van Dijkum: Thanks Liz. Do you expect to be – having to pay an additional dividend this year based on your taxable income? I know it's tricky. There's still a quarter to go. But you did pay dividends in the first part of the year. Do you expect there should be a catch-up dividend? Or do you think you will reinstate likely in the – perhaps in the first quarter of next year?
Elizabeth Perkins: We do not anticipate that we would be in a position to pay a dividend through the end of 2020. Beyond that, the Board and management will continue to monitor operations and will evaluate reinstating a dividend, while balancing the other cash needs and priorities of the company, all with the intent of – as Justin had previously mentioned, total return for our shareholders, but maximizing total shareholder returns over the long-term and doing what's best in the near-term to that end.
Floris van Dijkum: Great. Thanks. That's it for me.
Justin Knight: Thank you.
Operator: Thank you. There are no further questions at this time. I'd like to turn the floor back over to Justin Knight for any closing remarks.
Justin Knight: Thank you. And again, I'd like to express our appreciation for all that have joined us today. I want to recognize the fact that some of you may have had technical difficulties accessing our web link through our website. We apologize for that. It was fixed midway through the call, and certainly the transcript for this call will be available afterwards. We appreciate that these continue to be challenging times. I want again, to give a special thank you to our team here at Apple and to our management companies and our teams who are actively working in the field. It's what everyone has been doing in our industry right now to ensure that we continue to be successful despite the current challenges, has been remarkable and inspiring. And I hope that as you get back out and start traveling again, you will take the opportunity to stay with us in one of our hotels. Have a great weekend. Hope to talk to you soon.
Operator: Ladies and gentlemen, this concludes today's webcast. You may now disconnect your lines at this time. Thank you for your participation and have a great day.